Operator: Hello, and welcome to Ipsen's Conference Call and Webcast on Q3 2025 Results. I'll now hand you over to David Loew, Ipsen's CEO.
David Loew: Thank you, and hello, everyone. I'm delighted to welcome you this afternoon to our year-to-date and third quarter sales presentation, which can also be found on ipsen.com. It's a pleasure to take you through the progress we are making this year. Please turn to Slide 2. Please note of our forward-looking statement, which outlines the routine risks and uncertainties contained within this presentation. Also, all of my comments on growth will be based on constant exchange rates. Please turn to Slide 3. I'm going to take you through our brief presentation, and then our CFO, Aymeric Le Chatelier; and our Head of R&D, Christelle Huguet, will join me to answer your questions. Let's begin by taking a look at today's highlights. Please turn to Slide 4. Today's highlights illustrate how we are continuing to deliver strong growth. Total sales grew by 13.7% this quarter and by 12.1% in the first 9 months. We are very pleased to see a strong performance of our portfolio outside Somatuline, which grew by 12.3% in the 9-month period. Based on this continued solid momentum and strong growth, we are pleased to further upgrade our full year 2025 guidance. We now expect total sales growth around 10% at constant exchange rates as compared to our last guidance from July of sales growth above 7%. Regarding margin, we now expect the core operating margin around 35% of total sales as compared to more than 32% in our last guidance. Turning to the pipeline. We are delighted by the first data for our first-in-class differentiated long-acting molecule, IPN10200, enabling the initiation of Phase III trial in aesthetics. In rare disease, we were pleased to receive the approval of Bylvay in Japan for PFIC, offering a nonsurgical treatment option for infants, young children and adults. Also in July, we announced the European approval of Cabometyx in NETs, an area where Ipsen has a strong legacy. We're also excited to announce the addition of ICT01 into Ipsen's clinical oncology pipeline following the intention to acquire ImCheck Therapeutics. So let me provide you more details on this deal. Turn to Slide 5. This deal is focused on the lead clinical stage program, ICT01, in first-line unfit patients with acute myeloid leukemia, including high-risk patients who are ineligible for intensive chemotherapy, another strong addition to our pipeline as we expand our leadership in oncology. ICT01 is a first-in-class monoclonal antibody targeting BTN3A, a key immune regulatory molecule broadly expressed across cancer and follows strong data presented by the ImCheck team at ASCO 2025. ICT01 is currently in Phase II trials for AML, and we hope to be able to start the Phase IIb/III trial in 2026. Ipsen proposed to acquire all issued and outstanding shares of ImCheck Therapeutics for a closing purchase price of EUR 350 million and downstream payments contingent upon achievement of regulatory and sales-based milestones with an expected closing by the end of the year or early 2026. Turning to Slide 6. Our Q3 month sales delivered a solid 13.7% growth and 12.1% in the year-to-date, fueled by all 3 therapeutic areas with an improvement of performance for Neuroscience and Rare Disease this quarter compared to last quarter. The portfolio outside of Somatuline is growing at 16.7% in the quarter and 12.3% year-to-date. Oncology performed well with sales growth of 7% this quarter and 6.6% in year-to-date. Rare Disease continued to have the most impressive performance of our portfolio with sales doubling both this quarter and in year-to-date. Neuroscience with Dysport continued to deliver high single-digit growth. I'll now turn to Oncology for more details. Please turn to Slide 7. Starting with Somatuline, sales were up by 11.7% year-to-date. Both Europe and the U.S. continue to benefit from shortages of generic lanreotide. While we do anticipate lanreotide generic competition with potential new entry next year, it is apparent that it is a complicated product to manufacture. Cabometyx sales were up by 2.9% with solid performance in Europe from increased volumes, offset by shipment phasing and increased competition in rest of world. Q3 performance was at 9.3%, including the rest of world returning to growth. NET's launch in Europe is progressing well with the first patients treated in Germany and additional reimbursements to come soon. Decapeptyl sales were up by 2.2% as we experienced volume growth in Europe and China despite continued competition and some pricing pressure in some countries. Onivyde sales grew by 4.8% with moderate growth in the U.S. driven by the first-line metastatic pancreatic ductal adenocarcinoma indication. We continue to expect challenges in the U.S. as communicated previously. Now let's turn to Rare Disease. Please turn to Slide 8. In rare disease, Bylvay continues to perform well with year-to-date sales of EUR 135 million, growing by 46%, driven by strong demand in the U.S. and in Europe in both PFIC and Alagille syndrome indications despite increased competition. We're pleased to soon also launch in Japan, where so far, we didn't have an Ipsen commercial presence and where Bylvay will be the first of several drugs to be launched by our new affiliates, opening up this important market. Turning to IQIRVO. We continue to track very well with sales reaching EUR 107 million this year. In Q3, we saw strong growth in the U.S. with a 46% growth quarter-over-quarter, driven by an increasing uptake from new patients. We also note the recent withdrawal of OCALIVA for PBC from the U.S., and we expect to see many of these patients transition to IQIRVO towards the end of this year and into 2026. The Europe launch gains momentum with more countries coming online with reimbursements achieved now in several countries. Moving to Neuroscience. Let's turn to Slide 9. Dysport is performing well in aesthetics, where sales are up by 12.3%. We have seen continued growth in most territories, augmented by share gains in some countries. European markets have remained robust with a good performance despite negative phasing of shipments to our partner. In therapeutics, Dysport sales grew by 5.2%, both in Europe and in the U.S. Rest of the world performance was impacted by phasing of inventories in Brazil in the first half, but delivered solid growth in the third quarter. We are very pleased with how well Dysport has performed overall this year, and we are committed to high single-digit growing forward. That concludes the review of sales. Now let's turn to the pipeline. Please turn to Slide 10. We have a well-balanced pipeline across the 3 therapeutic areas. The deal announced today will further strengthen our hematology pipeline. I would like to spend some time now focusing on the update for our long-acting program. Please turn to Slide 11. In September, we announced the proof-of-concept data for IPN10200, Ipsen's uniquely engineered recombinant first-in-class molecule. These first data in glabellar lines follow the completion of Stage 1 of the ongoing Phase II LANTIC trial. We announced that patients treated with IPN10200 experienced a statistically significant improvement in response at week 4 versus placebo, the primary endpoint. A longer duration of effect was also observed with a substantial majority of patients experiencing a clinically significant response at week 24 compared with placebo and Dysport defined as none or mild off-line severity at week 24. IPN10200 was shown to be well tolerated with no safety concerns reported with any of the evaluated doses of IPN10200 across Stage 1. Furthermore, the data demonstrated a rapid onset of action documented by patient diary data and superior patient satisfaction scores versus placebo and Dysport. The full data will be shared at the scientific conference in the first half of 2026 and Phase III start-up activities in aesthetics have been initiated. The Phase II LANTIC trial remains ongoing with Stage 2 currently recruiting patients to evaluate the safety and efficacy of IPN10200 compared to placebo in 4 headlines or lateral cancer lines. Phase II development continues for therapeutic indications, including adult upper limb spasticity, migraine and cervical dystonia. Turn to Slide 12. We're expecting an update in Rare Disease, where we should report the pivotal FALKON trial results for fidrisertib in FOP in the coming months. Looking ahead to 2026, it is going to be a busy year for the pipeline with several anticipated Phase III data readouts across all 3 therapeutic areas, including for Bylvay in biliary atresia, IQIRVO in PBC as well as migraine trial readouts for Dysport. Please turn to Slide 13. I would now like to conclude. We continue to deliver strong momentum and remain firmly on track to achieve our ambitions. There are 2 key messages. First, we are delivering strong financials with double-digit growth of our top line, fueled by the performance of our existing portfolio and launches as well as we upgrade our sales and margin guidance today. This consistent growth reflects our focus on execution and our ability to deliver across both commercial and medical fronts. Second, we continue to expand the pipeline with the proposed acquisition of ImCheck Therapeutics, progression of IPN10200 and multiple catalysts to come over the next 18 months. Finally, we have significant firepower to pursue external innovation. We remain disciplined but ambitious, and we are well positioned to seize the right opportunities to further strengthen our portfolio. We're committed to advancing science with purpose to bring the benefits patients are looking for as we believe everyone deserves a life fully lived. With that, please turn to Slide 14. This concludes our presentation, and we will now take your questions. Operator, over to you.
Operator: [Operator Instructions] Our first question comes from the line of Charles Pitman-King from Barclays.
Charles Pitman: Charles Pitman-King from Barclays. Two, please. Maybe just to start off, just wondering if you could give us a few more thoughts on the kind of Dysport phasing at this point. I'm wondering if you're able to kind of quantify the impact here of 3Q versus 4Q. Can we expect that there's going to be some form of catch-up there? I'm just wondering if you can provide a little bit more color on the end market dynamics for Dysport across aesthetics and therapeutics versus peers, including specifically just how you're currently viewing Galderma's positioning of Dysport versus Relfydess given that's where a lot of investors are focused as of our feedback this morning. Second question, please, then on Somatuline and guidance. The guidance that you provided today reflects limited impact expected from generic erosion for the rest of the year. I'm just wondering how that compares to your assumption behind the guidance at 1H '25. And given the degree of margin expansion guidance between 1H and 3Q, can we assume this is entirely driven by Somatuline not facing as high erosion as you had anticipated? And what this could mean for 2026, given your expectation that generics could ramp up over that -- over next year, could margins decline year-on-year? Any commentary would be great.
David Loew: Thank you, Charles. Perhaps I start with the market dynamics of Dysport, and then I hand over to Aymeric for the Dysport phasing estimation and the assumptions on the more limited impact on Somatuline. Regarding market dynamics, we see that we're performing well, Galderma and ourselves in the territories that we have in the aesthetic market. We see market share gains in the U.S. and performance is also very well in Europe. Relfydess has just started with the launch. So it's a little bit early to comment on this one, but we are very satisfied with the Dysport performance. On Dysport phasing then, I hand over to Aymeric and also for the Somatuline impact assumptions for Q4.
Aymeric Le Chatelier: Yes. So thank you, David. So Charles, to answer your questions, yes, the Dysport performance, as you see, we're delivering a very solid over 9% growth, both on the quarter and year-to-date, and this is really our guidance for Dysport to continue to deliver high single digit. Having said that, if you look quarter-by-quarter, we are impacting by phasing of shipments. So I will say both on the therapeutic and the aesthetic, we believe that both therapeutic and aesthetic will continue to perform very well. David was talking about the aesthetic performance. I think on the therapeutic also, we're confident. You see the U.S. continue to deliver double-digit. I think the rest of the world has been impacted by Brazil. So the Q3 was really strong with some catch-up. I think it should normalize in Q4. But overall, we are pretty strong here. On the aesthetic side, there is also some shipment issue. As you know, we're shipping to Galderma, our partner. And depending on the phasing of shipment, the level of inventory also at the end of last year, this is significantly impacting. So as you see, the overall performance for the first 9 months is minus 13%. And I think that all of that, not to say more than that, is related to phasing and shipments. So that was your first question. Regarding your second question, I think there is a lot of question into your question, which is really trying to understand better the assumption behind our guidance and potentially what could be the impact for 2026 on the group profitability. So I think you're right to say that today, upgraded guidance is to a large extent related to the better performance of Somatuline. We were anticipating that there will be more generic to come in the market, and there will be also more impact of the existing generic on both the U.S. and the EU. Today, we see a much slower erosion than what we anticipated. So this is the reason why our guidance on sales has been increased. And this is also what you see as a translation in our core operating income. This is combined with some other impact. The rest of the portfolio continue to perform pretty well, and David was talking about IQIRVO and also we get some other revenue that are very strong in 2025. Going into 2026, as you know, I'm not going to provide the guidance for 2026, but we are comfortable with the momentum that we have on the rest of the portfolio, even if there were to be more impact of generic potentially because, as David said, it's very difficult to predict because the product is complicated to manufacture. We believe we will be able to continue to grow. But should the pressure and erosion from generic be more important in 2026, we should see some lower level of profitability in 2026 than the 35% that we are guiding for this year. We'll provide more detailed numbers in February when we provide the guidance for 2026. I hope it answers your several questions on Somatuline.
Operator: Our next question comes from the line of Simon Baker from Rothschild & Co Redburn.
Simon Baker: 2.5, if I may, please. Firstly, on ImCheck and the impressive ICT01. I just wonder if you could share your thoughts not only on the potential in the lead indication, AML, but it's also in development for DLBCL, mantle cell lymphoma and multiple myeloma. Are they areas of equal interest? Would they be areas that you would promote on your own? Or would there be potential for partnership there? Secondly, looking at the FOP opportunity for fidrisertib. I just wonder how that's changed, if at all, in light of the Regeneron garetosmab data? And then finally, just a quick one. We're starting to see a gentle stream of letters doing deals with the White House on drug pricing. I just wondered if you could give us an update on your own experiences there.
David Loew: Thank you, Simon. So regarding ImCheck, we are indeed enthusiastic about this one. What we have modeled currently, which is why we determined that we wanted to make the deal is the potential in first-line unfit really. We're not guiding on peak sales yet, obviously, because we have to now see much more data in Phase IIb and III. So it's a bit too early here. What I can say is in terms of helping the modeling a bit, in the U.S., you have about 7,000 patients, which are in AML in first-line unfit not eligible for high-dose chemotherapy. And then inside of that pool, we have assumed that there will be targeted therapies coming. So we have actually taken only 60% of the 7,000, which we consider eligible. Of course, there could be an upside. You never know how the data is going to look like. And when you take KEYTRUDA, for example, KEYTRUDA sometimes performed better than some of the targeted therapies. So it could be that this is a conservative forecast model, but this is what we have done. We will look indeed at life cycle management. There are ongoing trials, as you mentioned, but we are also going to look with the team once we have closed the deal at other potential life cycle indications. Regarding the footprint to your question, I mean, remember that on Taz, we're already present in the U.S., not yet outside of the U.S. But this is in oncology, that's not really a problem because oncology field forces are not that big. I mean you're not talking like GP or high-volume specialty care here. So that wouldn't be a concern for me at all. To your second question on FOP on fidrisertib, we just need to now be patient to have the readout of the trial. And only then we can really comment regarding your question on Regeneron. Remember, the Regeneron trial was in patients in 18 years and above. And most of the progression of the disease happens already much earlier -- already in early childhood. Our trial was including 5 years of age and above. So if fidrisertib will demonstrate efficacy, then there is certainly an advantage just based on the label. A lot of the disease has already happened up to adulthood, I would say. So there is not such a big benefit after, let's say, 20 years of age because many patients are already in a wheelchair. They have already a lot of their joints locked, unfortunately. So this is just something to keep in mind. Regarding your third question on deals on MFN, you will remember that the White House sent the letter to the 17 biggest pharma companies. We have seen a couple of deals right now. We heard that more deals are going to happen. When you look at how these deals were structured, they seem to have a very similar pattern. So we have to anticipate that perhaps at one point, this is going to be a bit more common for the whole pharmaceutical industry, but it's too early really to speculate on this one. We have not been contacted so far.
Operator: Our next question comes from the line of Lucy Codrington from Jefferies.
Lucy-Emma Codrington-Bartlett: I've got 3, if that's okay. So firstly, on Decapeptyl, you commented on the competition and the pricing pressure you're facing. So I just wanted to think about how you're looking at that original mid-single-digit guide you'd given when outlining the midterm aims and if there's any change to that? Secondly, on Onivyde, I understand that the first-line expansion is taking time, but could you give us more info about how the second-line setting is performing and why growth appears to be stalling a little there? And then finally, just on the Dysport migraine readouts next year. Firstly, why have they taken so long to conduct? I think the readout has been delayed a year. And then just more generally, is there any reason to expect that these wouldn't work in migraine given we know BOTOX does?
David Loew: Thank you, Lucy. So on Decapeptyl regarding competition and pricing and our guidance of having a mid-single digit. I think it's going to be a bit in the lower area of the mid-single, I would say, because we see this with the competition. So for example, in China, we have some launches in the 1-month segment. And in Europe, it's mostly pricing negotiation, which we have anticipated. So it's actually fairly in line with our expectations. On Onivyde, regarding the first-line expansion, it's definitely harder than what we have anticipated. Second-line is not showing such a strong dynamic. We thought the real growth is going to come from the first-line. So we are still looking at this from all angles, trying to do more real-world effectiveness, also some Phase IV studies, but it's definitely a bit harder than what we have anticipated. On Dysport migraine, I would actually correct that perception. There is no delay that you mentioned on this 1 year. That's wrong. We have never assumed any earlier time line. So we have consistently reported that it's going to be mid next year roughly. We would anticipate that it works as BOTOX does in chronic migraine, but you run the trial to find out if it really does. So we have to just be patient for the migraine data to read out here.
Operator: Our next question comes from the line of Sofia Graeff Buhl-Nielsen from JPMorgan.
Sofia Graeff Buhl-Nielsen: Firstly, just on the LANT data. Maybe if you could provide some insight on to how you're seeing the efficacy of the profile relative to other toxins on the market beyond Dysport both at 4 weeks and 6 months? And then just in light of today's acquisition of ImCheck and the target of starting a Phase IIb, Phase III trial next year, how are you seeing R&D spend developing into 2026?
David Loew: Okay. I'm going to take the first question, and then I will ask Aymeric to comment on the costs for the ImCheck Phase IIb/III spend. On LANT, so as you know, we have compared the efficacy versus placebo, but more importantly, also, we had Dysport in there. And we have shown that the data looks very attractive versus both of them. I don't want to speculate on cross-study comparisons because we see differences sometimes in the trials that have been conducted a long time ago, like a lot of the BOTOX and Dysport trials have been conducted a long time ago. They didn't all use the same endpoint. So you're going to see the most recent data on Dysport, which looks very good, at the upcoming conference where we are going to submit the trial data in the first half of next year. And I think we need to stick to these clean comparisons rather than going cross-study comparisons because sometimes you also have slight underlying demographical differences, et cetera. So I think we need to really look at the data as it will stand. And then, okay, I'll let you do cross studies if you want to do that. But I would just caution you that this is always a difficult exercise to do because small underlying demographical differences can sometimes change things. But we are extremely pleased with the IPN10200 data we have to say. On ImCheck, regarding the spend dynamics, I'll let Aymeric answer.
Aymeric Le Chatelier: Yes. So regarding ImCheck, as a reminder, so next year 2026 will be mainly the launch of the Phase IIb, so you should not anticipate very significant expenses. But even going forward, this is going to be a 3 to 4 years study. So you should anticipate that this is a normal Phase III in oncology. And as a reminder, this is for us a mid-stage transaction, which is fully embedded in our guidance. So when we provided the 2027 guidance of at least 32% of sales, this assumes deals preclinical, but also early-clinical to mid-clinical. And this one is fully into our guidance or outlook for margin.
Operator: Our next question comes from the line of Xian Deng from UBS.
Xian Deng: Xian from UBS. Two questions, if I may. The first one on Somatuline, please. It's just a follow-up on the previous Somatuline question. I wonder if I could maybe push my luck a little bit. Given that we -- you are not expecting very limited erosion for this year. So just wondering how should we think about 2026 erosion purely from a modeling perspective? Because if I look at the consensus now without sort of basically updating after today, right, the current consensus is kind of modeling, let's say, mid-teens-ish erosion for '26, '27. But of course, now if this is actually coming from a much larger base in 2026, I was just wondering how should we actually think about the erosion in '26 onwards? So that's the first question. And the second one is also just wondering just sort of to follow up on your previous comment on the R&D spending impact fully embedded. But just wondering for full year 2026, of course, understanding that you can't give guidance now, but just wondering if you could maybe remind us some push and pulls in the R&D and SG&A into 2026. So for example, the Bylvay BA study should be winding down? And are you going to prepare some SG&A, et cetera? So yes.
David Loew: Thank you, Xian. On Somatuline, I mean, as you know, of course, yes, you're pushing your luck. We're not giving guidance on 2026. Having said that, you're right that we're going to be on a higher base. I think what we also observed is that while we have to anticipate more competition coming in, the generics are really struggling with the production of the compound. I mean you have seen Sun Pharma had the registration already since October last year, and they are nowhere to be seen in the market. We see that Pharmathen is struggling to get the volumes up. So I would love to be a fly in their production building to know what's going on. Of course, we cannot know it with precision here. So we just have to assume that there will be somewhat of a gradual erosion next year and potentially with more competition coming in, perhaps Sun Pharma launching or getting the approval in the U.S. next year. So that -- we just want to be carefully guiding on Somatuline, but I have to say we are very pleased with the performance of Somatuline. Regarding the push and pulls on the spend, regarding your question on R&D and SG&A, I'll let Aymeric answer on this one.
Aymeric Le Chatelier: Yes. So your first question was on the R&D cost. So as a reminder, we said that we wanted to get R&D as a percentage of sales to be at least at 20%. I think this acquisition of ImCheck will contribute. You have to keep in mind, if we take the pull and push that some of the large Phase III will start to be at a lower cost in 2026. So there's going to be quite a number of readouts. At the same time, we are accelerating our program in neuroscience. So you should expect a little bit more. And we're still committed to continue to do more deal early stage, mid-stage like ImCheck. But overall, I think you should expect R&D to slightly increase from the 20% in 2026. Regarding SG&A, I think your question was aiming to, on one side, I think we have the full infrastructure in place. And today, it's more delivering on the existing launches, especially Bylvay, IQIRVO, but also all the infrastructure in oncology. You should not expect significant increase. But at the same time, we're going to prepare for the launch of the potential life cycle management of 2026. These are not going to be massive investments because clearly, most of the investment is going to be more towards '27 when we're going to be actually launching those expected life cycle management.
Operator: Our next question comes from the line of Victor Floch from BNP Paribas.
Victor Floch: I'm Victor from Paribas Exane. So maybe first one on the arbitration related to IPN10200. So maybe can you help us understand the range of outcomes there and whether it's reasonable to assume that the resolution of that arbitration might not immediately clarify the commercial strategy for that asset, but maybe more likely mark the beginning of a potential broader discussion on your extended collaboration on toxin with Galderma. So that was my first question. And then my second question on M&A. I mean, congrats for the deal. And I was basically just wondering if we should assume like more deals like this one, which are that you are basically qualifying as mid-stage deals. But should we still assume that you're going to execute on 1 or 2 later-stage production in the near term?
David Loew: Thank you, Victor. On the arbitration, I will not speculate what the outcome might say and the clarity that we're going to get or not get and et cetera, because arbitrations, they can go sometimes in all different directions. That's just the character of arbitration. We expect the readout towards the end of the year. So we should know more fairly soon. And obviously, we're going to then communicate on the findings on the arbitration. So not much more that I can say at this point. On M&A, you're right, we have in our strategy, a mix of different deals from the preclinical to early mid-stage clinical, but also late-stage clinical. And yes, we absolutely want to do more mid-stage clinical deals like the one we have just done with ImCheck. But we are also absolutely looking at late-stage deals or on-market deals because we want to make sure that we can continue to expand our pipeline and our footprint in oncology, but potentially also in rare disease. And in neuroscience, you have just seen us with the long-acting neurotoxin results. So clearly, we are looking at late-stage deals, and we have ample firepower still even after this ImCheck deal because we included that, as Aymeric said, we included that in our guidance already. So this is not changing in any way our guidance, the ImCheck deal. It would be the case if we would do a late-stage large deal, then it might influence our guidance.
Operator: Our next question comes from the line of Florent Cespedes from Bernstein.
Florent Cespedes: Florent Cespedes from Bernstein. Two quick ones, please. First of all, on ImCheck acquisition. I have a question on the product ICT01, the tolerance profile we see some neutropenia infections. I was just wondering whether this could potentially impact the expansion of the product on different population, notably on less severe patients. So having a product with different side effects, how this could potentially impact the future potential of the product? That's my first question. And second question, an easy one. When I look at the major coming milestones for 2026, I don't see TAZVERIK on the list on the updated slide. So some comments on this would be great.
David Loew: Thank you, Florent. So I will actually give both questions to Christelle Huguet, our Head of R&D.
Christelle Huguet: Thank you for the question, Florent. So let's start with ICT01. So when you look at the EVICTION trial and you look at the safety profile, it's, in fact, very well in line with the safety profile of venetoclax plus azacitidine in the AML population. So in fact, it appears that ICT01 does not add to the safety profile and is well tolerated in those patients. To your second question regarding TAZVERIK, so the SYMPHONY-1 trial is doing well and will be fully enrolled by the end of the year. As you will remember, this is an event-driven readout. And from what we can gather in early interim look, we think that it's going to read out towards the very late end of last year and maybe fall into the first quarter of '27. That's why you're not seeing it on the pipeline for '26. However, the study is going well.
Operator: Our next question comes from the line of Natalia Webster from RBC Capital Markets.
Natalia Webster: Firstly, just a follow-up on your SG&A investment into the IQIRVO and Bylvay launches. Q3 sales are stronger for both of those. So I just wonder if you're able to comment on the impact you're seeing from the investment in your sales force for both of these products in Q3 and then how you expect that to progress in Q4 and into 2026? And then secondly, specifically for IQIRVO, you said that you're anticipating the U.S. withdrawal of OCALIVA to benefit sales from Q4. Are you able to comment on how you expect this benefit to be split between IQIRVO and competitor Livdelzi?
David Loew: Thank you, Natalia. On the investment of IQIRVO, so we have indeed invested adequately, I would say, the push on IQIRVO because we are very excited about the product. and we have seen a very, very nice pickup of IQIRVO and also Bylvay. What we have done is we have split out Bylvay pediatric indication to a dedicated pediatric field force as of October. Now they're just being on the territory now. And that gives, of course, by the simple arithmetics, a bit more share of voice for the IQIRVO field force because they were also taking care of Bylvay there. So I think we are going to continue seeing a positive momentum on IQIRVO and Bylvay for the future. Regarding your second question on the OCALIVA withdrawal and the split, I think, honestly, we're going to probably see a similar pickup of these OCALIVA patients in line with the market shares that we are seeing right now. I would say that the fatigue data has definitely helped us continuously seeing an acceleration as well on IQIRVO and being very competitive in the field here. So we're very pleased with the performance so far.
Operator: There are no further questions at this time. So I'll hand the call back to David for closing remarks.
David Loew: Thank you very much, everybody, and have a good rest of your day. Bye-bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Speakers, please stand by.